Operator: Good day, ladies and gentlemen and welcome to the Agilysys Fiscal 2017 Fourth Quarter Conference Call. At this time all participants are in a listen only mode. Later we'll conduct the question-and-answer session and instructions will be given at that time. I would now like to hand the floor over to Norberto Aja, Investor Relations. Please go ahead sir.
Norberto Aja: Good afternoon everyone and thank you for joining the Agilysys fiscal 2017 fourth quarter conference call. We will get to management presentation and comments momentarily, as well as your questions and answers, but first I will review the Safe Harbor language. Today’s conference contains forward-looking statement within the meaning of the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statement can be identified by words such as anticipate, intent, planned, goal, believe, estimate, expect, future, likely, may, should, will, and similar references to future periods. Examples of forward-looking statements include among others, statements we make regarding guidance relating to revenue and adjusted earnings from operations, expected operating results, such as revenue growth and profitability, market demand, cost efficiencies and strategy for growth, product development, customer service, market position and financial results. Forward-looking statements are neither historical facts nor assurance of future performance instead they are based only on our current belief, expectations and assumptions, regarding the future of our business. Future plans and strategies, projections, anticipated events and trends, the economy and other future conditions. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict and many of which are outside of our control. Our actual results and financial condition may differ materially from those indicated in the forward-looking statements. Therefore you should not rely on any of these forward-looking statements. Important factors that could cause our actual results and financial condition to differ materially from those indicated in the forward-looking statements include among others, our ability to achieve operational efficiencies in new customer demand for products and solutions and the risk described in today’s news announcement and in the company’s filling with the SEC, including the company’s reports on Form 10-K and Form 10-Q. Any forward-looking statement made by us in today’s conference call is based only on information currently available to us and speaks only as of the date on which it is made, June 1, 2017. We undertake no obligation to publicly update any forward-looking statement that maybe made from time-to-time whether as a result of new information, future developments or otherwise. Today’s call and webcast will also include non-GAAP financial measures within the meaning of the SEC Regulation G. When required a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and present in accordance with GAAP can be found in today’s press release as well as the company’s website. With that, I now like to turn the call over to Mr. Ramesh Srinivasan, President and CEO of Agilysys. Please go ahead, sir.
Ramesh Srinivasan: Thank you, Norberto and good afternoon everyone. We appreciate you joining us on the call today to review our fiscal 2017 fourth quarter and full year results. Joining me on the call today is our Interim Chief Financial Officer, Tony Pritchett. Before I get started, a quick note of apology. Please pardon my hoarse voice and possible intermittent coughing, I caught a flu bug a few days ago while travelling, I am currently working my way through it. Let me begin with a quick overview of the fourth quarter and full year results, before providing an update on our various strategic initiatives and opportunities for growth. Compared to the previous comparable period, total net revenue for fiscal fourth quarter decreased 4.1% to $30.6 million. While full year net revenue increased by 6.1% to $127.7 million. Adjusted EBITDA in the fiscal fourth quarter was a loss of $0.2 million compared to a gain of $1 million during the same period last year. Adjusted EBITDA for the full year FY ‘17, increased slightly compared to FY ‘16. The GAAP net loss for the fourth quarter and for the full year were $5.3 million and $11.7 million respectively, compared to $1.5 million and $3.8 million for the comparable prior year periods. Tony will provide a more extensive view of our financial results, including the income statement and balance sheet and more details on our future outlook. Going forward, we will be providing and periodically updating guidance based on two broad measures. One, a range of annual revenue; and two, our non-GAAP adjusted earnings from operations metric, which will be a comprehensive measure of all aspects of our operating business, including all cost pertaining to operations, regardless of what portions of them on capitalized for accounting or other reasons. We are also tracking our business internally based on this measure, as we manage and monitor our progress towards overall positive free cash flow and profitability. This measure is a close approximation of free cash flow without the cyclicality of working capital fluctuations based on timing of billings among other things. Based on this measure, our adjusted earnings from operations was a loss of $16.7 million for FY '16 and improved to a loss of $11.6 million in FY '17. We expect to reach positive territory by this measure during the fourth quarter of this current year FY '18 and hope to start the next fiscal year FY '19 on a positive adjusted earnings from operations run rate. Moving along to the other salient and strategic aspects of the business, while we did not expect a turnaround to happen overnight, I'm pleased with the progress we've made on various strategic and tactical initiatives during the five months I've been here. These initiatives continue to progress aimed at generating improvements in various aspects across our enterprise including the following four areas. One, achieving added leverage from our significant competitive advantages and resources. We continue to be in a good position to increase our investments in crucial growth areas, without any significant impact on overall spend in percentage of revenue terms. For instance, during FY '18, we expect the number of our R&D resources to increase by about 40% without any significant ramp up in overall R&D spend as a percentage of revenue. Two, improving our overall financial performance including revenue growth and becoming profitable as soon as practical. We expect to exit this upcoming fiscal year, FY '18 with positive adjusted earnings from operations run rate and expect to generate cash starting in our next fiscal year FY '19. We have identified multiple areas of the business, which can be run a lot more efficiently than before, thereby providing us the cost room to invest further in crucial areas that will drive revenue growth. We are focused on setting ourselves up for significantly higher revenue and profitability growth beginning FY '19. Three, improving our product and solutions delivery velocity. Apart from spending a great deal of time with our talented teams in our various offices, I have spent most of the five months I've been with Agilysys, visiting customers. Most of our customers want to do more business with us. If we can give them the products and the solutions they require at a faster pace. I feel very lucky to be leading such a wonderful revenue growth opportunity business with such talented people. Four, expanding our ability to address the potential we have in new geographical markets like Asia and Europe. We've hired two capable leaders Andrew Cox and James Slatter to lead our businesses in APAC and EMEA respectively. The expansion in R&D capacity will also help as we focus on getting our products ready for a greater number of international markets. In addition, we expect our India development centers to greatly help with expanding our business and support reach in Asia. Speaking of India development center, we are pleased to report that we made good progress with this crucial initiator. We've leased a 17,000 square foot facility that can accommodate around 160 people in a world class technology campus in Chennai. Other business occupants of this campus include Amazon, Cisco, AstraZeneca, Citi, Fidelity and GE. We expect to move into this office by end of June, with about 25 of the 80 personnel the -- who have accepted our offers to join us. We expect to be at peak capacity in this office by fiscal year-end. In addition we've also hired one of my former colleagues as Head of Business Transformation based in our Atlanta office. He is currently focusing his energies on driving various efficiencies and cost savings initiatives at Agilysys. He is focused on a set of special projects, which will help us become a lean high performance execution and innovation engine. Our productivity levels continue to increase in all areas of our business. We can still do a whole lot better. One of our critical areas of heightened emphasis is customer service. In the enterprise software business area that we are in great customer service will be at the heart of just about everything we do. We are in the process of transforming Agilysys into a company that is world class in customer service. We are now listening to our customers a lot better, a lot more frequently, spending a lot more time explaining our future product roadmaps, ensuring our customers have a say in such roadmaps and ensuring that they drive and get the benefit of all our future innovation. We've done well in terms of market share in the gamming vertical. We can and will duplicate that success in multiple other verticals like hotels, resorts and cruises and foodservices management if we continue to increase our passionate focus on customer service. As we look ahead we can see multiple areas of opportunities. One, serving larger clients in the hotel chains and foodservice management space. Two years ago, Agilysys was not even talking to any of the top 10 global hotel brands, while currently we are engaged actively with several of them. We have just signed an agreement with Hilton naming Agilysys as a Hilton approved hospitality solutions vendor and we hope to streamline guest transaction processing, reduced cost and improve operations at Hilton properties around the world. We have the opportunity now to better serve customers like Hilton and Compass, as we continue to improve our product and innovation delivery velocity and customer service levels. Two, cross selling to our current customer base. Currently about half of our customers use only one of our products. As our product delivery and innovation velocity increases we can grow by selling our point of sale and property management system centric solutions to our already well established customer base in verticals like gaining. Three, rollout our leading edge SaaS cloud-based rGuest Stay property management system product faster to the market. We are in the process of hiring additional R&D resources to speed up the development of various new functional features in rGuest Stay. This product is already live in multiple hotels with a proven sound technology platform. Our PMS solutions support around 250,000 rooms, which remains a small fraction of the overall market size. Our largest competitor for instance supports around 5 million rooms. Speeding up the development of a full set of features in rGuest Stay remains core to our future revenue growth. Four, international expansion, EMEA and APAC remain mostly green spaces for us now. We are working on multiple initiatives to speed up our growth in these regions. Some of the major hotel chains we are in the process of expanding business with are also keen on helping us expand to other international regions like Latin America. All things considered, we are lucky to be operating in growing markets with an increased need for better technology solutions that can help them serve their guest better and increase guest loyalty levels. As the U.S. and other hotel industries continue to compete against the reach of online travel companies, they will have an increased need for health from technology providers like us with products like rGuest Stay, rGuest Seat and other solutions, which can work well. As both on premise and that SaaS solutions based in the cloud and which can help them understand and manage their guests better. The industries and markets we serve are hungry for a world class technology provider and we absolutely intent to be the one. They remain dedicated to our goal of being great at both day-to-day execution and innovation for the future. Both aspects are critical to the success of our business. We are blessed with strong and well established product solutions like InfoGensis, LMS, VisualOne, Eatec, Stratton Warren and DataMagine. We also continue to make great progress with our newer rGuest solutions like Pay, Stay, Buy and Seat. The number of installs on these newer rGuest products continue to grow with each passing month. We support SaaS cloud based solutions for our customers across virtually our entire product set. We are uniquely positioned in the marketplace as a technology provider who can provide solutions both on premise and SaaS cloud based. With respect to our install base, we are now approaching 40,000 point of sale endpoints and 250,000 rooms. While this represents 12% and 4% growth respectively from the end of FY '16, we feel we have barely done justice to the market opportunity in front of us and to our potential. As we look forward, we remain intent on accelerating our path to profitability and to deliver better results for our shareholders. We remain committed to investing in the right areas of our business and becoming a lot more nimble and efficient as operators are lot more disciplined with our capital allocation strategies with a greatly enhanced fashion for a world class customer service. Our commitment to these principles will be the basis for our improved financial performance in the future. We expect FY '18 to be a year where we demonstrate improved results, while also setting ourselves up for a solid period of growth and profitability during FY '19 and beyond. With that, I will now turn the call over to Tony Pritchett for more color on our financial results and future outlook, Tony?
Tony Pritchett: Thank you, Ramesh and good afternoon, everyone. Our fourth quarter fiscal year 2017 revenue was $30.6 million, a 4.1% decrease from total net revenue of $31.9 million in the comparable prior year period. Revenue for the full year grew 6.1% over fiscal 2016 to $127.7 million. Our top-line performance benefitted from a significant improvement in recurring revenue including our subscription based SaaS recurring revenue. The SaaS recurring revenue continues to grow at a faster pace than our overall recurring revenue growth rate. Our installed point of sale endpoints rose 12% year-over-year and the number of rooms managed by our lodging solutions increased 4% year-over-year. This positive traction was offset by a challenging transition period in the middle quarters of fiscal 2017 as well as a decline in lower margin iSeries hardware sales over the second half of fiscal year 2017. Looking at revenue in greater detail, products revenues fell 24.9% to $8.9 million or 26.4% of total revenue during the quarter. Due to the difficult comps on the back of several large hardware refresh projects that took place in the fourth quarter of fiscal 2016 and did not repeat in the current period. On a full year basis, product revenue decreased 7.5% to $38.3 million versus $41.4 million in fiscal 2016, largely due to the drop that took place in the fourth quarter. Total revenue related to our rGuest platform comprised approximately 6% of total fiscal 2017 revenue. Support, maintenance and subscription revenue or recurring revenue increased 3.7% to $16.3 million or 53% of total net revenues compared to $15.6 million or 49% of total net revenue in the fourth quarter of fiscal 2016. And by 5.3% to $63.3 million or 50% of total net revenues on a full year basis. Driving that growth was a 49% increase in SaaS recurring revenues for the fourth quarter and a 44% increase on a full year basis, representing 25% and 24% of total recurring revenues respectively. Professional services revenue grew 14.3% to $6.3 million compared to the fourth quarter of fiscal 2016 and by 38.3% on a full year basis, reflecting the positive impact of our increased booking volumes and enhanced throughput from our customer facing implementation and installation teams. Moving down the income statements, costs of goods sold increased 5.7% or $0.8 million in the fourth quarter versus the prior year period. The 22.3% increase we had in costs of goods sold on a full year basis was largely due to the amortization of software development cost for first generation versions of the company’s rGuest solutions, along with the increased volume of professional services projects. Total gross profit declined 12.1% or $2.1 million for the fourth quarter of fiscal 2017 and decreased 6.3% on a full year basis. This led to a gross margin of 50.6% in the fiscal 2017 fourth quarter compared to 55.2% in the prior year period. The decreased gross margin is primarily the result of the previously disclosed impact of the amortization of software development cost mentioned above, which achieved general availability in the first half of fiscal 2017. Our current quarterly impact of this amortization is around $2 million more than comparable quarters in fiscal 2016. For the full year 2017 gross margin was 50% compared to 56.6% in fiscal 2016. Looking at operating expenses, which includes product development, selling and marketing and general administrative and depreciation expense the fourth quarter saw a 9.6% increase to $20.3 million compared to the prior year period. And as a percentage of net revenues, operating expenses represented 66.3% versus 58% in the prior year period and 56.5% for the full year fiscal 2017 compared to 58.5% for fiscal 2016. As expected, product development expense increased compared to fiscal 2016, increasing by 26% to $8.4 million in the fourth quarter of fiscal 2017 and by 8.8% to $29 million on a full year basis. And as a percentage of total revenue, product development expense represented 27.5% in the fourth quarter of fiscal 2017 versus 20.9% in the same period last year and 22.8% for the full fiscal year 2017. Sales and marketing costs decreased 5% year-over-year in the fourth quarter of fiscal 2017, however increased by 5.5% on a full year basis, primarily reflecting an increase in advertising and promotion as we expand our visibility in the market. General and administrative expense increased 4.4% on a quarterly basis, but decreased 8.9% on a full year basis, primarily due to reduced incentive expense and stock compensation associated with the departure of our former CEO and CFO. Depreciation of fixed asset and amortization of intangibles are both slightly elevated over prior year levels, reflecting investments internally used assets. Additionally we had around $1.6 million in restructuring, severance and other charges for the full year as a result of CEO separation benefits and related CEO transition costs, and early contract termination and other costs related to the transition from offering a proprietary workforce management solution to reselling our partner solution. As a result, we reported an operating loss of $5.2 million for the fourth quarter of fiscal 2017 compared to an operating loss of $2 million in the prior year period. Net loss for the fourth quarter was $5.3 million or $0.23 per diluted share compared to a net loss of $1.5 million or $0.07 per diluted share in the fourth quarter of fiscal 2016. Net loss for fiscal 2017 was $11.7 million or $0.52 per diluted share compared to a net loss of $3.8 million or $0.17 per diluted share in fiscal 2016. Adjusted EBITDA for the quarter was a loss of approximately $0.2 million in the fourth quarter of fiscal 2017 versus a gain of $1 million in the fourth quarter of fiscal 2016. And on a full year basis, fiscal 2017 adjusted EBITDA was an increase of approximately $0.2 million to $4.5 million versus $4.3 million in fiscal 2016. Moving to the balance sheet and cash flow statement, cash and marketable securities as of March 31, 2017 was $49.3 million compared to $60.6 million at March 31, 2016. The decrease in cash reflects approximately $16 million in spend for our ongoing product development investments and investments in our internal assets, as well as impart offset by a cash inflow of around $2.2 million related to settlement of a life insurance policy and $3.4 million in cash provided by operating activities. And in terms of our NOLs, we continue to have approximately $187 million on our books for which we can attribute a full valuation allowance and will help us remain liable for only taxes paid in foreign jurisdictions along with minimal state taxes for the foreseeable future. Looking ahead, we forecast fiscal 2018 full year revenue will be between $136 million and $140 million, reflecting an estimated 7% to 10% growth over fiscal 2017. Adjusted earnings from operations is a non-GAAP metric that we have begun to report starting this quarter. We feel this metric provides a good indication of how we are tracking towards becoming a profitable company. It normalizes our non-cash and non-recurring charges, but includes expenditures on capital assets and therefore approximates our expected cash generation or cash burn for a given period for ongoing needs of the business. Adjusted earnings from operations was a loss of $11.6 million in fiscal 2017 and a loss of $16.7 million in fiscal 2016. This $5 million improvement is the result of planned adjusted EBITDA and reduced overall cash spend on capitalization of internally assets and software in 2017 as compared to 2016. We expect to be able to generate positive adjusted earnings from operations in the fourth quarter of fiscal 2018 and we then expect that adjusted earnings from operations will grow from there. It is important to note, that our forecast reflects an expectation for a significant improvement in the second half of the year following negative adjusted earnings from operations in the first half of the year. As it relates to margins, it is important to remember that we been reflecting the development cost of solutions such as rGuest Pay and rGuest Buy as software development cost in the balance sheet. However as these solutions reach general availability we will be amortizing new development costs in a linear fashion on to our income statement. As such with the general availability of rGuest Stay announced earlier in the quarter we expect gross margins in the low 50% range due to this non-cash developed technology expenses coming off the balance sheet. In summary, we enter fiscal 2018 with a healthy balance sheet including nearly $50 million in cash, improving fiscal discipline and many opportunities to expand the business all of which better position Agilysys to deliver profitable growth. With that let's turn the call over to Karen for questions. Karen?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Allen Klee with Sidoti.
Allen Klee: Good afternoon. Can you talk a little more on product revenue of -- the decline there of what was behind that? And then what are the factors in the next fiscal year that are going to get that to accelerate to get you to your 7% to 10% guidance? Thank you.
Ramesh Srinivasan: Yes hi Allen, good afternoon. With respect to product revenue, I would say that was also affected by the transition period that we went through at the end of FY '17. So we did see reduced product revenue for a couple of quarters. But we are beginning to see reasonably healthy trends as far as this quarter is concerned our June quarter. And also last year the comparative year compared to comparative year we had lower than usual hardware deals. The large hardware refresh deals that happened in the previous year did not happen in the last two quarters. But now when you look ahead as far as the June quarter is concerned, I would say it seems fairly likely that both with respect to product revenue and overall revenue you will see both sequential growth and year-over-year growth.
Allen Klee: Okay. And in terms of the India center, can you just remind me in terms of where that stands in terms of when you are expecting to get fully ramped up that and the productivity from it?
Ramesh Srinivasan: Yes, so as far as the India center is concerned, we incorporated it a few months ago and started hiring and also leased out a 17,000 square foot facility that can accommodate about 160 people. We have made about 80 offers so far and about little more than 10 people have already joined us, they are working out of a temporary facility now as we build out our own facility. So we should moving to our building before the end of June about three, four weeks from now. And when we move in there we will move in with about 25 people. And thereafter month-after-month that number should increase dramatically and we expect to fill up that center of 160 people by end of the fiscal year. And in terms of productivity, we expect them to start making an impact in our product delivery velocity in about a couple of months from now.
Allen Klee: Okay. Can you give us any color on your sales force in terms of kind of if you had thoughts of where the number of people are now maybe where they were and if there are any plans are on changing that?
Ramesh Srinivasan: No major plans on that Allen, I think our sales force is doing well and is generating a number of good opportunities for us. So I don’t foresee any major changes in our sales force, other than the fact that we are looking at efficiencies and we are looking at effectiveness of our entire employee base not just with respect to sales force. So no major changes expected in the sales force other than expansion in Asia and EMEA. We expect to get a lot stronger in terms of business development and sales in our international regions. But other than that, I think our sales force is well established here. And as our product delivery velocity and our customer service improves, I think the current sales force is good to carry us further into higher revenue brackets.
Allen Klee: Okay, thank you. And then how should we think about CapEx and capitalized software levels for the coming year compared to where they have been?
Tony Pritchett: Hey Allen, this is Tony. For the coming year, we should see the level of capitalization about equivalent to what it was in fiscal 2017 on dollar terms. So…
Allen Klee: By capitalization you mean CapEx plus capitalized software.
Tony Pritchett: That’s correct, yes. So no major changes in dollar terms which -- that leads us to lower cost as a percentage of revenue for that area. So we are continuing to invest in the software products and opening the India development center adding over 100 employees there this year, those employees are going to be contributing to the software platforms that we have. And so some of the costs will be capitalized, but again not an increase in cost there just basically remaining flat.
Allen Klee: Okay. And if I was to look at your business by the major verticals of casinos and hotel related resorts, food service, how should I think about or how do you guys think about the growth rate potentials of the different areas?
Ramesh Srinivasan: Yes, so in terms of future growth, when you think of Agilysys, as a much bigger company than we are today, a little more than half of the growth about 50% to 60% of the growth I think will come from the hotels, resorts and cruise that the HRC part of our business. And I think the remaining half or little bit less than half, 40% to 50% would come from growth in international regions like APAC, EMEA and little bit in Latin America as well and from our not traditionally strong verticals like gaming. And part of that growth that 40% to 50% growth will also come from selling more to our current customer base who are already there. So the short answer to your question would be more than half about 50% to 60% would come from hotel, resorts and the cruise segment of our market and a little less than half 40% to 50% will come from international regions, gaming our current customers and a couple of other smaller verticals.
Allen Klee: Thank you. And can you just give a comment on the competitive environment now of how it compares to some period in the past or if you’ve noticed any changes?
Ramesh Srinivasan: Haven't noticed any major changes, Allen. I don’t want to comment too much on our competitors, we always have the greatest respect for our competitors and I know that we have to get better. But I’ll tell you this much that it does feel like based on my conversations with current customers and prospective customers. It does really feel like we control our fate. If we get better, if we improve our product delivery velocity, if we improve our customer service standards and become more efficient as a company, I think there is a lot of business to be had. Looks like customers are eager to do more business with us. So it is just a matter of continuing to get better and I don’t think the competitive space is -- while we have a lot of respect for our competitors, I think there is enough room for us to grow.
Allen Klee: Okay. And then maybe last for you on, for your newer rGuest products if I look at Buy and Stay, I guess with Buy how the kiosk are doing and with Stay just you’ve touched on it, if anything else related to kind of the roadmap to kind or get the larger hotel chains. And maybe what you said about [Hi] would that means as a potential opportunity? Thank you.
Ramesh Srinivasan: You mean Hilton, Allen?
Allen Klee: Hilton, I apologies, Hilton yes.
Ramesh Srinivasan: No problem Allen. So with respect to Buy, I would say that the early part of this calendar year for the first two three months of this calendar year, we had a couple of challenging installs. We were going through a couple of pilot implements of Buy and we have passed all those technical challenges now and we are really beginning to see Buy picking momentum we add more functional features to it. Now as far as Stay is concerned, the technology platform is very stable, it’s doing well and there is one particular customer who is actually taking more and more properties live with very little help from us. So the technology platform is doing very well there. And there the challenges for us to add a lot more functional features as quickly as we can. So that it becomes a real competitive solution in the marketplace. So, I think Buy will gain momentum quick then Stay, but we are in the process of increasing the number of functional features on Stay. And your question on Hilton, yes we've signed our master services agreement with them and we are now one of their register providers. And big customers like Hilton and there are a couple of other such hotel deals we’re are working on as well should provide us -- should be a major part of our immediate one to two year growth.
Allen Klee: That's great. Thank you so much.
Ramesh Srinivasan: Thank you, Allen.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Phil Bernard with Eilers, Krejcik Gaming LLC.
Phil Bernard : Hi guys, thanks for taking my call. Couple of quick questions, I know you guys have given some great color so far. First one, I believe at the beginning of this fiscal year you began the implementation of a large rGuest Stay rollout with the Drury hospitality group? Wondering if you could give an update on that, maybe what type of progress you guys are making and how that implementation is going and how the customers receiving the product?
Tony Pritchett: Yes, hey, Phil, this is Tony. That was the customers that Ramesh just mentioned. So that rollout is actually going very well and the way that that particular implementation worked is on the frontend we had some pretty heavy involvement with them to try to teach them how to do installations on their own. And then after they did a handful of hotels with us then they took over and they started doing it themselves. So that rollout is actually going really well there receiving the product very well and they're able to implement it themselves with a very little help from us, which is a true benefit of the product. And that's why we think that the technology platform is sound and is stable and is proving itself with that customer, with Drury.
Phil Bernard : Okay, great. And maybe an estimate on when you think those units will be fully deployed?
Tony Pritchett: The full rollout for Drury probably takes another year. So, it's a pretty long rollout cycle for them.
Phil Bernard : Okay. So, another potential or not potential another sequential growth driver in that SaaS line through fiscal year '18?
Tony Pritchett: Yes.
Phil Bernard : And you guys gave us some figures on POS terminals installed PMS rooms. Do you have any updated figures for how many rGuest Pay installs you guys have through this quarter?
Tony Pritchett: rGuest Pay, we don’t -- I don’t have that number right in front of me Phil. We can get that information but…
Phil Bernard : Got it, no worries, and I’ll keep it short. That's it for me. Thank you.
Ramesh Srinivasan: Thanks, Phil.
Operator: Thank you. And that conclude our question-and-answer session. I would like to turn the conference back our management for any further comments.
Ramesh Srinivasan: Thank you, Karen. And thank you all for your interest in Agilysys. We have great opportunities in front of us and we are committed to taking them with both hands. On behalf of our Board, our management team, I'm very thankful to our talented and dedicated team, to our valued customers who continue to trust us with their mission critical applications and to our investors, without whom we would not be here. We appreciate all your support. Thank you very much.
Operator: Ladies and gentlemen thank you for your participation in today’s conference. This does conclude the program. And you may now disconnect. Everyone have a great day.